Operator: Ladies and gentlemen, welcome to Comstock's Third Quarter 2023 Business Results Webcast. This is Will Maze with RB Milestone.  For those of you new to the story, Comstock is commercializing technologies that enable systematic de-carbonization towards the energy transition through three divisions – Comstock Fuels, which converts biomass into net zero renewable fuels; Comstock Metals, which recycles solar panels and critical metals; and Comstock Mining, which holds significant gold and silver resource in the target rich district in Nevada and plans to dramatically expand its reserves through generative AI-enabled mineral discovery. Comstock shares are listed on the New York Stock Exchange under the symbol LODE.  Joining us today is the company's Executive Chairman and CEO, Corrado De Gasperis, and COO, William McCarthy, who will be discussing third quarter results and an update of current operations, and will be answering questions at the end of the presentation.  If you're interested in asking a question or logged into the Zoom app, you can submit questions to us directly in the Q&A module. Please note that this presentation is being recorded today, October 26, 2023, and will soon be made available on the company's website at comstock.inc. If you are registered for the presentation, you will be receiving a brief survey by email from RBMG. Your response will be very helpful to Comstock in strengthening its investor relations efforts and providing growing transparency going forward. We appreciate your participation. Today's call may contain forward-looking statements that are subject to risks and uncertainties that may cause actual results, performance or developments to differ materially from those contained in the statements that are not guarantees of future performance of the company. No assurance can be given that any of these events anticipated by the forward-looking statements will occur or if they do occur, what benefits the company will obtain from them. Also, some risks and uncertainties may be out of control of the company. Comstock has a full disclaimer contained in their presentation. Lastly, RBMG is not a registered investment adviser or a broker-dealer. For more information, please visit rbmilestone.com. Now it's my pleasure to introduce Mr. Corrado De Gasperis and Mr. William McCarthy. Gentlemen, the stage is yours.
Corrado De Gasperis: Thanks, Will. Good afternoon, everyone. And welcome to Comstock's third quarter 2023 financial results and business update. As Will just said, you have both me and Billy McCarthy on the call today. And we look forward to overviewing a very strong third quarter and taking a much deeper dive into our fuels business. A lot of good detail that we look forward to sharing with you and a very positive outlook on all of our businesses.  We also appreciate everyone that participated in the RBMG investor survey. As Will said, the feedback really helps us in delivering on and managing your expectations. You can find the link to the survey on the Comstock, Inc. investor page. We open up the survey after each quarterly call, starting today, and keep them open until the end of the quarter to get all of your feedback. And if it comes to the survey, it directly informs our Investor Relations strategy and communications, and we act on it.  For example, we're taking extra time today to better explain our fuels business based on the input and perceptions from that survey. Our update will also include the information from today's press release and our recently filed third quarter Form 10-Q.  You'll find the press release at our website at www.comstock.inc, under Investors and in the Newsroom section. And hopefully, you've all had a chance to visit our new Comstock Fuels and Comstock Metals website with a direct link from Comstock's main page under Businesses.  Let me start with the corporate and financial updates, then I'll move into the strategic investments, including GenMat, and then cover our Mining and Metals businesses before Billy provides a much deeper review for fuels.  As most of you know, we finalized the sale of the 2500 Peru facility, receiving a net of $14.5 million in cash over the past seven months and finally transferring title and closing in September. This resulted in a third quarter accounting gain of over $7 million. And we still have 600,000 plus dollars due to us in early December from guarantees to us associated with that stock. We're very happy with the overall transaction, the expediency of our ABML stock sales, and all the proceeds that we've received to date.  We've also successfully sold a small portion of our Green Li-ion investment for $800,000 in cash and a realized gain of about $600,000. More importantly, that transaction established a much higher valuation for our remaining investment at nearly $20 million and triggered requirement for us to mark the value of those remaining shares to market, resulting in an additional unrealized gain in our third quarter financials again of another $14.6 million.  These and other transactions definitely strengthened our financial position, with a nearly $20 million reduction in just our current liabilities since the end of last year. We also reduced our debt by $2 million, and we have no debt due in the next 12 months.  These recent gains also resulted in the company recording net income of $13.7 million or $0.11 per common share for the three months ended September 30 and net income of $2.6 million or $0.01 per common share for the nine months ended September 30.  We do have a plan for selling the remainder of our Green Li-ion shares, most likely over the next 12 months, and we've already received new interests for selling more of those shares.  Additionally, we're seeing a surge in activity in and around Silver Springs, and much more direct interest in our properties there. Just this month, a company called Tract, a major hyperscale data center development company, announced that they had agreed to purchase land in the Tahoe-Reno Industrial Center, just 10 minutes from our properties, for a quarter of a billion dollars.  Sierra Springs Opportunity Fund has also received multiple inquiries and solicitations for investment and for their properties, all at much higher values. These new comps have increased our estimates for monetizing our remaining non-mining assets to well over $40 million.  We expect this to occur in the near term and during 2024 The entire Northern Nevada quadrant is proving out to be the next most valuable area of high tech industrial expansion. The magnitude of real blue chip economic activity that's occurring here is truly staggering. And it seems like our patience here is really going to pay off for the company and for our shareholders.  Our strategic investments also include, of course, GenMat, who's physics-based artificial intelligence has rapidly developed into a recognizable leader in this AI space. GenMat has developed ZENO, its proprietary physics-based AI, to accelerate the development of materials and the discovery of minerals. During this past quarter, GenMat has achieved its material simulation capability to TRL 7 by synthesizing and directly testing ZENO's ability to predict existing material properties and has confirmed the precision and accuracy of those new materials simulations.  GenMat has also now successfully tested its AI models for creating uniquely new structures, which is a breakthrough capability for simulating brand new materials. This is actually what we always envisioned and planned for ZENO to be able to do. ZENO is now advanced to a readiness level that puts GenMat in active discussions with multiple potential customers and partners, including us, who will use its technology for advancing material science research and development. It's becoming clearer and clearer to us that companies not using this type of AI for material advances are truly going to find themselves left far, far behind.  Remarkably, GenMat has also received full regulatory clearances for the launch of its satellite and advanced hyperspectral imaging sensor and will launch its satellite in November, although we're not allowed to be more specific about the exact date.  This should enable us to enhance Comstock's mineral composition data and integrate this new data with our existing historical geologic data and, ultimately, increase our ability to refine and better pinpoint our mineral targets. Both the Comstock and GenMat technical teams are working together diligently today on these new mineral discovery capabilities.  This is strongly aligned with Comstock Mining's objective of dramatically expanding our gold and silver resources. We've already used geophysical surveys and much more intelligent data analytics to develop a practical, knowledge-based 2-plus-million ounce gold equivalent target. This would more than triple our existing resources from still just a portion of our Comstock properties.  The work on this by our teams has truly been outstanding. In fact, based on all of these developments, Deep Prasad, GenMat's CEO and I were recently invited to the New Orleans Investment Conference, one of the leading natural resources conferences, where for much of next week, we'll be presenting and further discussing our joint collaboration on how we're using this AI for much more efficient and effective mineral discovery.  Look, tragically for us, the world is on fire, further punctuating the importance of these precious metal resources in our portfolio. Gold sits today at about $1,985 per ounce. That's up nearly $325 an ounce from just a year ago, with $2,000 an ounce right in its crosshairs.  We believe that our mineral properties collectively contain billions of dollars of potentially recoverable metals and are planning to unlock that value with GenMat in the capital sensitive and intelligent way.  Speaking of metals, Comstock Metals has been extremely busy over the past three months, readying the Nevada facility and marching towards production. We clarified on our last call that our metals recycling plan had pivoted away from batteries and was rededicating to commercializing a high growth, high impact and highly profitable photovoltaic market.  Frankly, we foresaw, now almost a year ago, the higher risk complexities and obstacles in the battery recycling market. We sold our battery facility and we pivoted. Our technology and processes are actually very well suited for recycling a broad range of electrification products. And we have simply and decisively chosen solar panels over batteries in large part for the following reasons.  One, we have an immediate and regionally available solar panel supply. This is primarily the southwest region of Nevada, Arizona and California, with an existing large and rapidly growing market that we estimate is going to end up at over 75,000 tonnes of solar panel waste this year and rapidly approaching end-of-life solar panels, quickly taking that number to over 1 million tonnes in 2035. The waste battery market is nowhere near the waste solar power market.  These materials are also much safer to acquire, transport and store, while we receive immediate revenue and cash inflow from the upfront tipping fees, and we have very low capital expenditures, and we have extremely low operating expenses with, at least for the time being, dramatically less competition, which is enabling us to stake a commanding lead in this market and why we're hustling so fast to do it.  Substantially, all of these solar panels are now going into landfills and creating a major, increasingly unpopular, environmental hazard. Some states like California have already banned landfills from accepting solar panels. And they're being sent east here to Nevada and other state landfills.  Our site in Silver Springs, Nevada is perfectly situated and has already been approved by the local county for this use. We're reading the facility for the installation of our production equipment, all of which has been ordered with expected delivery during this fourth quarter. Once the final permits are received, we'll start operating the demonstration facility at a rate of about 4,000 to 8,000 tonnes per year, ultimately transitioning it into our first industry scale site, which will be 10 times that size.  The total capital expenditure for the startup, most of which has already been spent, is less than $2 million. All of these facts, all of these variables stand in a stark contrast to what we were seeing in the battery market.  We then plan on deploying three to four industry scale facilities in just the next two to three years, and we believe our revised plan is faster, safer, and much more profitable.  Let me move on to Comstock Fuels. As you all saw, we recently announced that the company completed all validation milestones for our proprietary process, including achieving conversion yields that exceed 100 gasoline equivalent gallons per dry ton, which we believe is industry leading.  And we recently confirmed our extremely low carbon intensity scores, down to a score of 15, which represents an over 80% improvement over other renewable feedstock solutions. We also believe this is industry leading, and Billy is going to show you some stunning comparisons about these carbon intensity scores in just a few minutes.  These final validations allowed us to complete our full techno-economic analysis, and precisely define our business model for deploying and enabling our trademark Bioleum hub solutions across the Americas.  I'm going to turn it over to Billy to provide a deeper review of our fuels business as we commercialize what is shaping up to be a true game changer in renewable fuels. Hopefully, you all have your video turned on with your Zoom link, so you can follow the slides. But if not, we'll be positioning them – I'm sorry, we'll be posting them on a Form 8-K on our website late this afternoon. Billy, please go ahead.
William McCarthy : Thank you, Corrado. And bear with me for a second while I bring up these slides. Okay. And I hope everybody can see. Terrific. So, very excited to be here to talk in a lot more detail about Comstock Fuels. And we're going to cover a lot of things today.  Corrado and I were in San Francisco last week at the ABLC NEXT Conference, the Advanced Biofuel Leadership Conference, with a number of members of our team as well. And it was really good. We had two days of back-to-back meetings, meeting with peers in the industry and other technology providers, as well as some potential customers and partners.  And while it was good, it was also very striking. Most in this biofuel industry still, especially on the technology side, have a very myopic view. They're focused on one project or one technology, and very few people are talking about how their tech can scale to meet industrywide needs.  You contrast that with some time I spent earlier this month at the Advanced Biofuel Association Board Meeting in Washington, DC. And we're very proud to be new members of this association, the ABFA. We think it's a group of the most innovative technology developers and the largest fuel producers, who are all working together to advance the industry to new heights, much different than the rest of the pack that we saw at the conference last week.  And the truth is, we've always been taking this approach. Scalability has been at the forefront of our requirements from day one. And we're going to show you some more of that. I'm going to cover three topics today. A couple of these are things we talked about with our peers at the conference last week. But more of this, more interestingly, is some of the stuff we've been talking about privately with potential customers and partners, and we're ready to share it publicly today.  We're going to cover our case for the business and how we look at how our value proposition meets the needs of the market. I'm going to dive down a little bit more into how the process works both at the supply chain level and then inside our Bioleum hub. And then we're going to talk about our business plan specifically and how we're going to go about deploying Bioleum hubs across the world.  So let's get started here. I think we've covered this a few times before, but to restate. The big opportunity, 228 billion gallons of transportation fuels are consumed in the United States every year. And only 3 billion of those gallons are advanced biofuels today. And we know that there's under construction capacity to double that to 6 billion gallons in 2025.  But if you think about it, it's really not that meaningful of a percentage. And so, during my keynote address to the ABLC last week, I challenged our peers that we can all do better. And we showed them a way, a solution, Comstock solution for how we can do it.  Now, the one rebuttal to these numbers that's worth touching on is the notion of electrification of vehicles. And we spend a lot of time looking at this. And we look at some extreme scenarios. So if we said here, we electrified transportation to the point where we reduced consumption of fuel by 60%, we go down to 91 billion gallons a year, remember that 6 billion gallons is still only 6.6% of total fuel consumption.  Biofuel production needs to grow to bridge this gap to help through this transition. And governments recognize this. And that's why governments around the world, the US included, is bringing more and more support for biofuel production.  Now, here's a way that we look at biofuel, cost versus revenue. What does it cost to produce a biofuel and what is the revenue you receive by selling it. On the right side, we want the revenue to exceed the cost. Now with biofuels, the cost is not just driven by the value of the energy you've produced. The credits and other incentives received for producing biofuels weigh heavily on the revenue. The light blue boxes represent that in a couple of different categories, which we'll look at in more detail in a second.  On the left side, the light blue box CI reduction, carbon intensity reduction, is what are producers doing today to reduce their carbon intensity score, which leads to this higher revenue.  Here's a breakdown of some common biofuels compared to their petroleum alternatives, gasoline and diesel. What you can see here is the contribution of each of these different credits into this price. If we look here at sustainable aviation fuel, $6.60 a gallon. For $2.88 of energy value, the credits received are more than 50% of the total revenue for sustainable aviation fuel. This includes credits from the EPA under the Renewable Fuel Standard, which are known as RINs or renewable identification numbers assigned by the EPA that have a value assigned to them; credit under the Low Carbon Fuel Standard in California where each CI score point reduced is worth a specific dollar value; and finally, the tax credits including the large group of them enacted in the Inflation Reduction Act, which are all dependent on the CI score.  Lower CI score means lower carbon intensity means higher revenue. To maintain competitiveness, producers need to minimize the CI score of their fuels.  Here's another example. Two different types of ethanol, the same molecule. On the left, conventional ethanol made from corn at $2.28 a gallon. On the right, cellulosic ethanol made from woody biomass, like we produce, valued at $5.10 a gallon because of the additional credits received for the carbon reduction.  So again, better feedstock in this case, cellulosic versus corn, leads to a better, more valuable product. And we think the most efficient way to do this, to reduce the CI score of the fuel across the board, is to use the lowest CI score feedstock.  And to produce the lowest CI score feedstock at scale, we need a new supply chain. We think the best way to build it is by using existing infrastructure of established industries as much as possible. And that means using waste streams from the forest products industry to produce feedstock for advanced biofuel production. We can do this in abundant quantities today.  It's not a new idea, and we're not the first to suggest it. But the problem is you can't stick a tree directly into a refinery and make fuel. Instead, plant the tree. Bioleum fills the gaps necessary to enable this supply chain. Our Bioleum hubs can process forest waste and other qualifying biomass feedstocks into valuable low CI score fuel intermediates. These are feedstocks for existing fuel producers to convert into low carbon fuels in existing refineries.  This point is important. We're not going it alone here. We're not looking to become a vertically integrated fuel producer one facility at a time. We think that's a very slow way to grow a new supply chain. Instead, we're working in a very coordinated way with upstream and downstream counterparties, to develop a solution that will scale to meet the needs of this industry, so we can build this supply chain that you see on the screen.  Or even better, this one that has 100 Bioleum hubs using 25 million tons of biomass, producing 2.5 billion gallons of advanced biofuel with extremely low CI scores.  So I'm sure you're thinking, is this even possible? Is this another dream? It seems really big. And let's look at the numbers. 25 million tonnes of biomass is not very material. The Department of Energy has identified a billion tons of biomass that could be used for fuel and is talking about expanding to 2 billion tons of biomass. In just over seven years, around 200 corn ethanol plants were built when that technology reached economic viability, with multiple parties working together at the same time.  Finally, the refiners are sitting there saying, they see the growth in this market, they're investing in more capacity, and they're concerned about their available feedstock from vegetable oils running out in the next five to seven years or so. So we think the numbers are supportive of it. And it's a modest goal.  But the better question is why Bioleum, why us? And the answer is our performance. The CI score. We create the most emissions reduction for our downstream processors. Our ethanol with a CI score of 16 substantially beats the alternatives, corn ethanol and sugarcane ethanol. Our Bioleum is class leading when compared to the other feedstocks usable today in existing renewable fuel refineries, like soybean oil or used cooking oil. And the fuels that are produced in those refineries using these feedstocks beat the alternatives again, every time with substantial reduction versus their petroleum fuel alternatives. Refiners need low carbon feedstocks and our Bioleum hubs enable them at scale.  Alright, so how does it work? Let's go a little bit deeper on to the supply chain and then the processes inside the hub. Our Bioleum hubs taken forest product waste and other qualifying feedstocks, along with fats, oils and greases, as well as hydrogen, produce three primary output streams, ethanol, the D3 cellulosic ethanol that carries the highest value that we saw earlier, our Bioleum HBO, which is a drop in feedstock for existing renewable refineries who can produce SAF and renewable diesel from that feedstock, as well as green chemicals like furfural and glycerol, which are important renewable precursor chemicals for many other things.  Inside the hub, we have a number of different processes occurring and we break them down into a series of pathways. Now there's three of them that we're going to talk about here today.  Pathway number one is our first commercial pathway. This takes woody biomass, separates the cellulose and Bioleum. This is what we've been talking about for the last two years. We convert the cellulose to sugar and on to ethanol. The Bioleum again is combined with the free fatty acids extracted from the fats, oils and greases to produce the by Bioleum HBO, the drop in feedstock for the renewable refinery.  Pathway number two, which is also commercial ready today, uses kraft lignin. Kraft lignin is a byproduct of the kraft pulping process, also known as the sulphate process, which has been in use since the late 1800s in pulp and paper industry. In the 1930s, they had a breakthrough where they created a near closed loop process and the lignin that came out of the wood is used for heat and power. In this process, they produce an excess of lignin.  Now lignin can be drawn off and converted into Bioleum for conversion into more Bioleum HBO, and this is our second pathway.  Or third pathway, we've also talked about before, it's the subject of our grant that's been funded by the DOE. We're happy to say we received notification a few weeks ago that the grant has been approved to move forward. We're in final planning with Department of Energy, and are expected to kickoff here in the next few weeks. And we look for a bigger announcement when that occurs.  But this process, the circled area around process G uses technology from a company called Xylome, where we convert our sugar into fat to feed back into the Bioleum HBO production process. And the project we're working on here is testing the economic viability of this process at scale.  Now, there's a lot of different technologies here and a lot of different processes. And we get a lot of questions about where did they all come from. Most of this has been developed by our team, acquired by our team and part of the core package of our technology. Process A, our Bioleum process; process D, the upgrading of FOGs; process F, the upgrading of kraft lignin are all 100% Comstock Fuels technology.  Process B, converting from cellulose to sugar is a Comstock Fuels process that uses biologics from Novozymes, who's the best in the business. And process E is where we've integrated the technology we've exclusively licensed from RenFuel, which is a fast track to us getting to that drop in feedstock for existing refiners in operation today. And then, again, process G is Xylome's process that we're validating today in our project with the DOE.  As we're doing this and we're integrating technology and we're developing technology, we're also thinking about downstream processes all the time. We also look at how can we integrate downstream, whose technology does our process, our products slide directly into and compatibly work with. And these are just a few examples. There's a lot of downstream processes that can use our products. We think these are some of the best out there. And it's worth noting that these are also fellow members of the ABFA with us.  So we're at the technology there. I'm sure everyone will take a look at the slides. Please do send us any questions you have, and we'll do our best to answer them.  But the real question, back to the beginning, is how are we going to build 100 Bioleum hubs. Sounds like a big goal. The first thing we're going to do is build one. It's going to be 100,000 dry metric tons per year capacity. It's going to produce $40 million to $50 million per year in income from our projections today.  It's going to cost about $300 million to build. We have a plan in place to use non-dilutive funding at the project level to fund the build of this first facility. Now, the first facility does a lot of things. It proves commercial viability, it derisks for future projects, and it gives us a testbed to optimize and to add on future development as our R&D projects proceed.  But beyond that, we're looking to develop and license hubs 2 through 100 and even beyond that. Our full scale hub will be 250,000 dry tons per year capacity. It'll produce around $100 million per year in projected income for that licensee who owns and operates this facility. And with today's estimates, it'll cost about $500 million to build.  Now the work we do with hub number one to derisk the future is going to allow us to bring up multiple EPCs, executing multiple projects for multiple clients simultaneously, so we can build this supply chain industrywide in very short order.  We think the economics [indiscernible]. Over $15 million in annual royalties for each hub back to Comstock Fuels. This is over $70 per metric ton of biomass. It makes the economics great for the customer and it makes very good economics for us.  Let's address a couple of questions upfront with how we're putting this together and where we're getting the pieces from. And the first question that I always get asked is where does the feedstock come from to get started? So let's start with some of the secondary feedstocks.  The fats, oils and greases today are the primary feedstock for these renewable diesel refinery customers. What we're really doing in our process is enhancing those fats oils and greases. We're increasing our capacity and we're increasing our performance.  So the supply chain for them in our first facility will come with our partners. The hydrogen we require, well, that's also an ingredient, a primary input to the renewable diesel refineries. And our partners here have very good insight into the supply chains for hydrogen and how we should site our facility to make this efficient.  The biomass is really a function of this. Once we have our renewable diesel refinery interested in Bioleum, they're saying that they want to buy it, well, the forest products industry is very pragmatic. And they're bringing that feedstock to us, they see the opportunity that we're creating, and they want to be part of it. Both the upstream and downstream see the opportunity we're creating, and both of them want to be part of our new supply chain.  We enable the downstream with new, better feedstock. We enable the upstream with new high value markets for their forest product waste. Both groups are interested in licensing and operating hubs. Both groups are using their resources to help us get there.  Our upcoming milestones are very straightforward. A commitment for offtake, a commitment for feedstock and a commitment for the funding we need to develop this project for hub number one. Those are the next three up that everyone should be looking out for. And they're coming soon.  Beyond that, next year, we'll be kicking off a full feasibility study with a site identified and selected. We'll be selecting an engineering procurement construction company. We'll be submitting pathway approvals to the necessary regulators. And we'll be securing the funding source for the construction of hub number one.  So I'm going to stop there and turn it back to Corrado. I appreciate everybody listening. That was a lot. And we look forward to take any questions you have on it.
Corrado De Gasperis : Thanks, Billy. And I hope that everyone found that detail both clear and meaningful. Our fuels team has made tremendous progress and positioned us for what is coming next. As Billy said, we're fully engaging this model with our customers, partners and investors and we're all working toward the execution of the first commercial agreements and many more thereafter.  We're working to commercialize fuels with offtake agreements, feedstock agreements, strategic partners that will deliver again, as Billy highlighted, non-dilutive capital and our first production facility. But we can't unilaterally dictate the timing. But I can tell you that everyone engaged has a real sense of urgency. And it's a strategic priority for them to get the feedstock and offtake agreements done sooner than later.  We sincerely believe we're enabling the highest value, lowest carbon solution, all the evidence points to it and supports it. And all the companies that we're engaged with are validating our differentiation and now see how much sense this makes for them.  Frankly, we really don't see any real alternatives. This is the only feedstock that can practically and meaningfully decarbonize at scale. And as Billy just showed you, our solution enables it. So it's happening now. It's happening in the best holistic and most meaningful way. And we very much look forward to sharing those developments and agreements with you as soon as they're completed.  Well, I'd say with that, we can stop. I'm really pleased that we got to share much more information than I think is typical for these calls. But we should go ahead and move on. Do we have some questions?
A - Will Maze: Well, thanks, gentlemen, for a very insightful presentation. And we do have questions. And as mentioned, we're now moving to the Q&A portion of the call. Reminder, you can submit your questions directly in the Q&A module. We have had many questions come in prior to the call. So let's get started with those.  First question, When will the data from the satellite become available? And how do you really see it impacting Comstock and/or GenMat?
Corrado De Gasperis: Well, within a week or so of the satellite reaching orbit, God willing, it will establish a beacon that our ground station provider will be looking for and working to establish a secure link. So that's like step one. Like once the link is established, the satellite will then orbit and take a limited series of images that will then need to be transmitted, downlinked and decrypted. We do that all with our, our service provider on the ground.  From our perspective, we're actually putting a big buffer on that entire setup and that entire process establishment with the ground station. We're thinking two months sort of on the outside. So everyone should be thinking mid-January, in my opinion, to be safe for verification of the live operations.  Once the process is in place and verified and functioning, then we'll start more specific scans of the Comstock and some other mineral properties. From there, our teams, who are already working together, will integrate that data with the existing historic data, as I mentioned, and continue to build a new predictive model of the Comstock geology. Ultimately, those models will guide our drilling and what we call ground truthing that we hope will validate the predictions, validate the geologic models, and frankly, accelerate and advance us to our 2 million gold equivalent target and beyond.  But, ultimately, it does something more than that. From GenMat's perspective and ours, it creates a new mineral discovery platform that can be used globally. So we couldn't be more excited. It's a pioneering activity. But so far, all the lights are green.
Will Maze: Very interesting. Next question comes in is congratulating you on the New Orleans conference. He says that I know it's not an easy conference to get into, an invite. Will the presentation from the conference also be made public?
Corrado De Gasperis: Yeah. Honestly, I've been trying to enter the New Orleans conference for a few years. I'm sure there's some people laughing or smiling on the other side of this call about that. It is by invitation only. Brien Lundin found the Comstock story, and in particular, GenMat's existing and developing capability fascinating. And they've been getting a lot of demand for how AI is being used for mineral discovery. And we're all actually very excited about next week. This conference, in particular, has a tremendous number of technical analysts in representation, certainly sophisticated resource investors and some very, very high quality companies. So, yeah, thank you for that. We're looking forward to it.  Any presentation that we make, similar to the one Billy just made today, we will post it on our website and file an 8-K form.
Will Maze: Next question is asking, when will you actually see revenue from Comstock Metals? And do you expect metal segment to be profitable at the demonstration scale?
Corrado De Gasperis: As I mentioned on our call, I think I mentioned, our preliminary industry scale financial model is very robust. The 75,000 to 80,000 ton per annum industry scale, from what we've estimated and diligenced so far is it's remarkable. We look forward to giving you that guidance in the first quarter of next year once the demonstration site is up and running. The startup rate and the demonstration facility of 4,000 to 8,000 tons really is most likely a breakeven scenario. Although with these measurements, it could be profitable at the higher volumes.  But once the panels start flowing, we'll fine tune the process, we'll finalize the engineering for the industry scale facility, and we'll give updates and guidance on that. The sooner we get a few months of startup operations under our belt, the sooner we can finalize all of those details, but we don't see any major obstacles in that path. Revenue really starts as soon as we're permitted and receiving panels that we can process.  We're a little bit reliant on the permits and the Nevada Department of Environmental Protection, our main regulator, who, frankly, is pretty desperately understaffed. We just met with them yesterday. And the good news is that the air quality permit, typically the more complex one, typically the one I get anxious about, seems to be right on track for this year. The solid waste operating permit looks like it'll come right after the air quality permit now. But we know that they're reviewing the permit. We met with them yesterday. And quite frankly, it's very similar to the prior permit that we got approved last year. So once we receive the permits, everything will be in place, we'll immediately start it up, and we'll move right into operations. We're going to be operating in the first quarter of next year, it seems, come hell or high water. So we're looking forward to all of that.
Will Maze: The next question coming in is, we'd like to see some insider buying, can we expect some insider buying?
Corrado De Gasperis: I'm going to say yes at the beginning, yes at the end. But I would first like to acknowledge that management and the board today hold over 11 million shares, and really all of us have our most meaningful net worth, and in some cases, our lives tied into the success of the company.  I personally haven't seen too many senior management teams or boards, for that matter, more fully committed and dedicated to what they're doing from what I see from our teams. It's truly an honor to be part of it.  I don't I don't say that lightly. The fuels guys have been spending – it's probably almost two decades of their lives and certainly the last 10 years bringing what Billy just reviewed with you to fruition. I'd also encourage you guys to all invest in the company more because of what we're accomplishing and the impact expected from those achievements. They're game changers and the real evidence of the progress that our teams are making, rather than if we own 11 million shares or more than 11 million shares.  But I get it. Like my father in law taught my son, there's no sense pissing into the wind here. So, yes, you should expect some insider buying. We'll do it. We'll do it as soon as we can.
Will Maze: The next question is regarding the fuels. We do have a couple, so I'm going to have a follow on to this. But the insights of Comstock Fuels were very helpful. Is it right to think that revenues are further off even though the market for your solutions is so massive?
Corrado De Gasperis: I think this is probably one of the more important questions and something we really wanted to address and, ultimately, surface from what we've been seeing across the board from the investor perception analysis.  Look, all of our investors are absolutely right to be focused on our first commercial agreements because they will validate the efficacy of our solution, they will demonstrate offtake from major sophisticated customers, they're going to secure the highest yielding feedstocks from industry leaders, and frankly, present an overwhelming financial valuation for our company. These agreements, when we validate to you what we already know internally, right, it'll establish the foundation and the beginning of an incredible value creation that will also start to get recognized by a much broader investment community.  It also brings the non-dilutive financing that funds exactly what fuels needs to achieve. We've put a tremendous amount of not just thought and planning into this. We're engaged in the market. It's happening. Right?  But this is a little different than I would say a somewhat false narrative of just wanting to focus on immediate revenue. We announced revenue, for example, for mining in a manner that I thought was outstanding. It covered all of our mining costs. And the market yawned, even though it was really a great deal for us.  The agreements we're negotiating now will completely change the reality for the company in remarkably valuable ways. The progress is incredible, and it's going to happen. So I believe it could happen this quarter. I believe it could happen before December 31. If it was up to us, it would be a layup. Could happen January 1, January 15, January 30.  I can tell you, it's coming soon. And whatever happens – and I'm sorry, whenever it does happen, I'll be enjoying the celebration. I hope you guys will be too. It will enable non-dilutive capital, liquidity and tremendously credible value even if actual revenues off of a specific agreement is a few years off.  That's really why I wanted Billy to present what he presented earlier. It's important that you and our target investors see the massive value that we believe is about to be validated and realized and we're just going to continue to be completely transparent about it.
Will Maze: We did have a follow-on related question. The question is, are you able to elaborate on the license with RenFuel? Will they collaborate on hub one and how our license fees split on future hubs?
Corrado De Gasperis: Billy, do you want to take that one?
William McCarthy: I'll say that our collaboration with RenFuel is very, very close. And this is not a transaction where we're licensing some tech and we don't talk to them. And we're going to be working very closely together. We are the primary vehicle where this technology of theirs is getting commercialized.  And it is, again, fully integrated into our processes you saw on the slides. It's a key partner process. And the way we've structured the royalties there is a very fair allocation of the value created in those steps. There's some technology of ours that's been put together with theirs. And we wrap that section of the process and developed the formula to do that. I don't think we're releasing the specifics of that. But I will say it's – the numbers I talked about were all net of any other license agreements we have.
Will Maze: We're now pressing up against time. Corrado, maybe you could provide some closing remarks and provide some important milestones that investors should anticipate in the next quarter and in 2024.
Corrado De Gasperis: Yeah. Maybe just in the context of the summary, well, for fuels, it's what we just said, right? Executing a commercial agreement. That includes offtake, feedstock, non-dilutive capital that could come all at once, it could come in two or three quick steps. But it's going to be with very well-known companies that we're going to be proud to call our partners.  As Billy mentioned, we're also going to launch a DOE grant project, also with world class partners, which is really designed to enhance our already industry leading position. And again, as Billy mentioned, we'll put out some more info on that when it's final-final.  For metals, we'll be finalizing the permitting of our photovoltaics recycling system here in Northern Nevada. We'll be finalizing the deployment of the production equipment and readying it for production. We're securing feedstocks, as we speak. That's what the team is spending all their time on now. And we'll start the commissioning of the demonstration scale early next year, and move it right into production.  I guess for mining, I would just say receiving a million bucks in revenue this quarter, of which $500,000 we just received this week from our leasing agreement that nobody seems to be excited about. And of course, importantly, developing in collaboration with GenMat an AI based next generation exploration tool that we're going to be talking about next week in New Orleans, and using our extensive geological and geophysical data along with GenMat's new data to really predict, enhance, sharpen the target that we already feel good about. So, either we're going to get to that target faster and cheaper or we're going to get it to a bigger target. So it just positions us to expand that 2 million gold equivalent ounce target, but don't dismiss that – if it's effective, if it's efficient, we're going to have something that's going to transcend the Comstock.  So I think that's it – fuels, metals, mining. I appreciate everyone's time today. It's going to be an exciting next month, two months, three months, for Comstock and our stakeholders. If we missed anyone because we run out of time with the call, please do reach out through Will at RBMG. And we're really happy to have follow ups from today. And really thank everybody for being part of all of this. Have a great day.
Will Maze: Thanks, Corrado. Thanks, Billy. And thanks, everyone, for joining the webinar today. There were quite a number of questions we were not able to get to. We will be able to download those through the Zoom app and we will respond to those as we can.  And also, today's webinar recording will be made available on Comstock's website shortly.  We'd also like to remind you that we will be sending out a survey from RBMG, which can also be found on the company's website, and we would really appreciate your participation in that survey.  If you have any additional questions that have not been addressed today, please feel free to send those over to comstock@rbmilestone.com. Again, that's comstock@rbmilestone.com. Thanks once again and you are now free to disconnect.